Operator: Good afternoon and welcome to BuzzFeed Inc's First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we'll conduct the question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this call will be recorded. I would now like to introduce BuzzFeed's SVP of Investor Relations, Amita Tomkoria.
Amita Tomkoria: Hi, everyone. Welcome to BuzzFeed Inc's first quarter 2022 earnings conference call. I'm Amita Tomkoria, SVP of Investor Relations. Joining us today are Founder and CEO, Jonah Peretti; and CFO, Felicia DellaFortuna. Before we get started, I would like to take this opportunity to remind you that our remarks today will include forward-looking statements. Actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are set forth in today's press release and in our quarterly report on form 10-Q filed with the SEC. Any forward-looking statements that we make on this call are based on assumptions as of today and we undertake no obligation to update these statements as a result of new information or future events. During this call, we may present both GAAP and non-GAAP financial measures. The use of non-GAAP financial measures allows us to measure the operational strength and performance of our business to establish budgets and to develop operational goals for managing our business. We believe adjusted EBITDA and adjusted EBITDA margin are relevant and useful information for investors because they allow investors to view performance in a manner similar to the method used by our management. A reconciliation of GAAP to non-GAAP measures is included in today's earnings press release. The press release and an investor presentation are available on our website at investors.buzzfeed.com. And now, I'll pass the call over to Jonah.
Jonah Peretti: Hello everyone and thank you for joining today. I'm incredibly proud of all our team has accomplished in the first quarter. We completed the unification of the sales, business and admin teams across BuzzFeed and Complex Networks. We demonstrated agility across our editorial, video and news teams in serving rapidly evolving audience and consumer preferences. And we delivered Q1 revenue and adjusted EBITDA in line with our margin outlook led by robust performance in our content business. We generated revenues of $92 million representing year-over-year growth of 26%. With the introduction of lightweight video products and the acquisition of Complex Networks, our content business is stronger than ever and we are achieving immediate monetization of new content format. Complex Networks is celebrating its 20th anniversary this year. With this acquisition, we are now offering advertisers a wider range of branded content opportunities, helping them lean into platform shifts and positioning us to drive stronger revenue growth through our content business. Q1 also marked the one year anniversary of the HuffPost acquisition. The business continues to perform incredibly well with Q1 revenues and engagement both growing strongly year-over-year. Looking ahead, we expect Q2 revenues to surpass $100 million for the first time in our history. This has nearly doubled the level of Q2 2020, a significant accomplishment in just two years driven by the efficient integration of our recent acquisitions. Last quarter, I spoke about how we were entering another period of evolution in digital media. User engagement data from analyst surveys and third-party tracking points to the fact that short form vertical video has clearly emerged as the fastest growing content format for young audiences with TikTok rapidly gaining share relative to traditional platforms. As the major tech companies like Meta and Google make investments to compete, they have reported that formats such as Reels and Shorts are capturing an increasing share of overall audience time spent on their respective platforms as competition for audience and time intensifies demand for our content is also rising. All of the major platforms are seeking culturally relevant, vertically optimized video content to serve their audiences and we are a trusted partner in providing this content to them at scale. We have seen this before as new formats emerge demand for our content grows. The monetization journey starts with branded or exclusive content as a precursor to scaled advertising and commerce solutions. This is where we excel. Our diversified business model enables us to drive immediate monetization through branded content on behalf of advertisers. Our business has proven resilient through such seismic market shifts. We prioritize innovation and operating agility to capitalize on these shifts and lead the industry forward. Unlike many others in our ecosystem, the strength of our diversified business model is only reinforced as the industry faces a range of macroeconomic challenges. Amid rising inflation, ongoing supply chain disruptions, geopolitical uncertainty, and increased data privacy regulations, we continue to be a trusted one stop shop for advertisers. We are helping brands solve the biggest challenges in the marketplace today. These include getting reliable audience data, navigating the world of influencers and creators and leaning into platforms and formats our audiences are going to next. To serve rising demand from audiences, platforms and advertisers for short form vertical video, we are leveraging our tried-and-true approach to content creation and distribution. Our proprietary tech stack and highly scalable content flywheel have enabled us to produce high quality content at massive scale and lower cost. With this approach, we can also capture deeper audiences' insights in two ways: first by extending these capacities to new platforms and formats; second by applying our learnings to maximize engagement across platforms. Despite the challenges that individual platforms are facing, overall digital media consumption is growing and we are not betting on a single platform to win. Instead we are investing in audience driven strategies where we see the highest potential for long-term growth and monetization. We meet our audiences wherever they are across our owned and operated properties and on traditional and emerging platforms. Our track record shows we can successfully evolve to reach young audiences wherever they choose to go next. This enables us to grow audience reach and engagement and generate growing sustainable financial returns over time. With this as a backdrop, I'm excited to share progress we have made in three key strategic areas: first introducing new vertical video products for advertisers, second unifying our creator program and third expanding our best-in-class first-party data services. Starting with vertical video. Last month at BuzzFeed Inc's first ever upfront in New York, we announced the launch of UpShots, a lightweight branded video product for advertisers developed exclusively for vertical formats, including Reels, TikTok, Shorts and our own sites and apps. Each platform has made investments in their own vertical video formats, but importantly UpShots is the most comprehensive platform agnostic solution designed to help advertisers achieve influence at scale. With tons of original short form video content from our major brands and on behalf of clients distributed across our network, we have already developed strong audience signal around vertical video. UpShots combines these learnings with the power of our category leading brands, cross platform scale and creator infrastructure. In doing so, we were removing the friction for advertisers, making it easier to develop creator led vertical optimized campaigns that cut across platforms. The early feedback from clients has been very positive. We look forward to working with our advertising partners to scale UpShots across platforms, including our own and drive robust advertising revenue growth over future quarters. We have also expanded our existing relationships with a large tech company. We are creating original content for Reels on Facebook and Instagram, Shorts on YouTube and TikTok. In just one example, our animation series, The Land Of Boggs has seen exponential viewership growth on YouTube Shorts in recent months with daily views regularly passing 10 million. With this approach, we are growing audience reach regardless of where young people choose to spend their time. And we are helping the major platforms scale adoption of their own short form video solutions and maximize returns on their investments. We are also making selective investments in our TikTok channels where engagement with our original video content continues to grow robustly. Our presence on TikTok is anchored in our major brands, such as Complex Networks, Hot Ones, interview show already loved on YouTube. We are introducing recut hot ones content on TikTok. Meanwhile, Tasy has gained incredible momentum on TikTok with video views and engagements in the month of April alone, surpassing Q1 totals. Tiktok is also right for rapid iteration. Some of our most successful TikTok channels are built around native animation, a direct result of [indiscernible] powerful audience signals on the platform. These are just a few examples of how we are capitalizing on the emergence of new content formats to expand the reach of our brands, to entirely new audiences. With tons of original content across our brands that is vertical optimized we can also offer advertisers access to hard-to-reach consumers in a frictionless way from lightweight product placement to editorial sponsorships that are tightly integrated with our vertical video content. BuzzFeed continuously strives to be at the forefront of audience shifts, leaning into our distinct advantage, a two-way connection with our audience. Our largest brands were built around identity and engagement. We know how to harness the power of shared identity to maximize audience engagement. We've also been a creator led publisher from the start with deep expertise in creating compelling first person narratives that resonate with online generations. Shared identity and first-person storytelling are powerful forces in the rise of short form vertical video. And as you can see, we are bringing our expertise in these areas to the advertising clients and platform partners further strengthening our position as a one-stop shop for advertisers and helping the major platforms to maximize their own investment in vertical video. Turning to our second strategic area of investment we introduce a unified creator program across BuzzFeed and Complex Networks known as Catalyst. Catalyst brings together category-leading brand, a diverse roster of talent and best-in-class creator tools and services from both companies. Some of the biggest careers in media and culture have started at BuzzFeed and Complex. As part of the integration we unified the BuzzFeed and Complex Networks, creator programs under a single brand name known as Catalyst. Catalyst serves our combined network of more than a 100 creators with a comprehensive set of technology, product resources, and tools to power, their entire content creation and monetization engine. As an advertiser, it can be difficult to navigate the world of influencers and creators. By partnering with us, advertisers have access to a trusted network of talent. We help them identify creative partners that are ideally suited to represent their brand while leveraging our relationship and infrastructure to execute their campaigns effectively and efficiently. With the launch of Catalyst, we are further cementing our leadership position in attracting and retaining the next-generation of internet creators. We expect to more than double the size of our creator network this year. And we are solving an important challenge for advertisers looking to happen to highly lucrative influencer-led marketing opportunities across multiple platforms. And finally, all of these solutions are powered by our expanded first-party data offering. In the absence of individual targeting capabilities advertisers are prioritizing access to rich first-party data, cross-platform insight and contextual alignment. Data has always been key to Buzzfeed's ability to create content and brands that scale. Last year, we rolled that data into a single offering for advertisers known as Lighthouse, our proprietary first-party data solution that allows advertisers to tap into our rich audience and platform insights to optimize the effectiveness of their ad campaign. With an expanded portfolio of category-leading brands, including Buzzfeed Casey Complex Networks, HuffPost and BuzzFeed News, our clients can now tap into our proprietary insights across an audience of more than 150 million people according to Comscore. Our audience spans food lovers, sneaker heads, young parents, luxury shoppers, you name it. And as the number one destination for Gen-Z and millennial audiences, we can offer advertisers access to highly reliable data around consumer preferences to achieve influence at scale. This is the reason we continue to attract the biggest advertisers in every category. Our clients include major CPG retailers like Target and Walmart, leading entertainment brands like Disney and Paramount, and some of the largest banks and financial institutions. By extending Buzzfeed's Lighthouse capabilities to the complex networks family of brands, we have a best-in-class first-party data offering to support our advertising partners in a cookieless future. Through focused investments in these three strategic areas, vertical video, first-party data and creator programs, as well as the rapid integration of Complex Networks into the company, we are increasingly well positioned to serve the growing demand for brand-safe, culturally relevant content, deepen our competitive moats, and help to shape the next generation of the internet. Importantly, these three areas of investment are synergistic and aligned to become more than the sum of their parts, with a cross-platform creator first approach to vertical video powered by our rich first-party data, we are able to offer our partners a comprehensive solution to the biggest challenges they face in the marketplace today. As a result, we are poised to deliver another successful quarter. We expect Q2 revenues to surpass a $100 million for the first time and drive strong profitability. And with ongoing execution of our investment priorities I'm confident we can continue to lead the industry forward in scaling and monetizing new content formats across existing and emerging platforms. I am grateful for our talented network of creators, journalists and producers who inspire young audiences every day with original food, news and entertainment content and to our shareholders and partners for their continued support as we execute on our vision to make the internet a better place. With that, I will turn the call over to our CFO, Felicia DellaFortuna, who will take you through our financial results and outlook.
Felicia DellaFortuna: Thank you, Jonah. I'm excited to walk you through our financial results today. Our investments in audience-driven strategies with the highest potential for long-term growth and monetization are yielding excellent results. And we believe we are increasingly well positioned to deliver attractive returns on these investments. We delivered first quarter results in line with our March outlook for both revenue and adjusted EBITDA. Revenues grew 26% year-over-year to $91.6 million driven by robust double-digit growth in our Content business. Reported revenue growth was at the low end of our guidance range of approximately 30% driven by a change from growth to net revenue accounting for the Complex creator program. With this change, the accounting treatment for creator revenues across Buzzfeed and Complex are now consistent. Without this change year-over-year, revenue growth would have been 30%. As a compliment for our revenue reporting, we also measure audience time spent across our owned and operated properties and third-party platforms. Overall time spent declined 4% year-over-year in the first quarter as expected. This was driven primarily by declines on third-party platforms as audience consumption patterns continue to favor short form vertical video formats, such as TikTok and Reels, which are not captured in our time spent metric.  Time spent on our owned and operated properties was also impacted as these platforms capture an increasing share of audience time. As a reminder, this metric reflects time spent on our owned and operated websites and apps, YouTube and Apple News as reported by Comscore and Facebook as reported by Facebook. This metric does not capture time spent on TikTok, Instagram, Snapchat, or Twitter. Although we are not yet able to leverage industry standard reporting to measure audience time spent on newer formats like TikTok and Reels, we monetize this consumption through our content business by offering advertisers a wide range of products to reach consumers natively on each platform. To provide the best look at our progress in this transition we will continue to share both quantitative metrics including revenues generated through our content business and qualitative updates around audience engagement on emerging platforms. Turning to our Q1 results by business; advertising revenues grew 26% year-over-year to $48.7 million led by growth on our owned and operated properties primarily driven by the acquisition of complex networks, which closed in December 2021. Advertising revenue generated on third-party platform was lower year-over-year consistent with the trends in time spent. Content revenues grew 65% year-over-year to $32.3 million driven primarily by the acquisition of Complex Networks. With the Complex acquisition and the introduction of lightweight video products at BuzzFeed our content business is stronger than ever enabling us to grow in a rapidly shifting market. Commerce revenues decline 27% year-over-year as expected to $10.6 million against outsized growth rates in the year-ago period. Additionally as discussed last quarter because our commerce business is still emerging the majority of audience traffic to our Commerce content is generated through Facebook. As a result, our Commerce revenues are also impacted by the shift in audience consumption patterns discussed earlier. In terms of adjusted EBITDA we generated losses of $16.8 million in the first quarter as expected. This reflects the typical seasonality of our business. We have historically generated losses in Q1, our smallest revenue quarter with an improving sequential profitability profile, as our operating leverage improves through the year. When compared to the first quarter of 2021 our adjusted EBITDA reflects higher content revenue mix as well as OpEx increases relating to public company operating costs. We also encourage charges that did not impact adjusted EBITDA including $8 million of the depreciation and amortization with a year-over-year increase attributable to the recognition of intangible assets associated with our acquisition of complex networks. $5 million of interest expense largely related to our convertible note financing, $5 million relating to the revaluation of our convertible note financing and warrant liability and $4 million in stock-based compensation which is driven primarily by stock-based compensation granted to employees as part of our annual long-term incentive progress. We ended the quarter with cash and cash equivalence of approximately $74.5 million. Before I discuss our outlook for the second quarter let me first share some of the current trends we are seeing across the business in order to provide context for the financial outlook. Starting with time spent, as discussed vertical video formats are capturing an increasing share of audience time, pressuring consumption on traditional platforms. And because the fastest growing vertical video platforms including TikTok and Instagram are not currently captured in our time spent metric, we continue to expect similar year-over-year declines in in-reported time spent as compared to Q1. However, we continue to make great progress in growing audience engagement and vertical video across platform and we will continue to share more here in the absence of industry standard reporting across platform. On revenues, in our advertising business we expect the year-over-year revenue growth rate to soften somewhat as compared to Q1 driven by various factors. Many of our largest advertising partners continue to face macroeconomic challenges. Our tech clients continue to be challenged by supply chain constraints. CPG & retail are battling similar challenges while also navigating rising inflation. As a result, some advertisers are pulling back or delaying spending. Further these market-wide issues are dampening the typical seasonal lift in pricing we would expect from Q1 to Q2 presenting some headwinds to programmatic advertising revenue. That being said after a slower start in Q1, we have seen strong momentum on direct sales in recent weeks, winning large deals across multiple categories, including entertainment, auto and CPG. This momentum highlights the strength of our diversified revenue model with scaled advertising businesses across both programmatic and direct sales we have the ability to navigate market dynamics around engagement and pricing and to do so profitably. And with a unified go-to-market strategy across BuzzFeed, Tasty, HuffPost and Complex, we see the opportunity to achieve greater scale and drive stronger margin contribution through a direct sales model over time. Moving to content, we expect another quarter of robust revenue growth with the acquisition of Complex Networks we are now able to offer advertisers a wider range of solutions. These include branded content, editorial and series sponsorships, custom affiliate posts and a long-form film and TV content. And as you heard, we have now added a short-form vertical video solution to our product portfolio with up shop. With this breadth of products we are helping clients lean into platform shifts, positioning us to drive stronger revenue growth through our content business. Our commerce business continues to face headwinds similar to those discussed broadly across the e-commerce sector, including our largest retail partners. And we will again face a comparison against the elevated growth rates experienced in the second quarter of last year. As the results we expect Q2 revenue trends in the range of what we saw in Q1. In terms of adjusted EBITDA, we expect to be profitable in the second quarter. The sequential improvement is driven by the typical revenue seasonality in our business, as well as initial efficiencies from the unification of the BuzzFeed and Complex sales business and admin team. Our outlook does not assume any further near term M&A activities. With that I will turn to our financial outlook. For Q2 2022 we expect overall revenues to grow by a low-20% year-over-year. We expect adjusted EBITDA in the range of $2 million to $7 million, and we expect stock-based compensation expenses in the range of $11 million to $13 million. Before I wrap-up, I want to reiterate that I am proud of what we accomplished in our first full quarter as a combined company. Following the integration of the sales business and admin teams across BuzzFeed and Complex we are now going to market with a combined portfolio of category leading brands. We are also capitalizing on the highly complementary offerings of both businesses to further strengthen our best-in-class tools and services for both advertisers and creators. As we get continue to execute against our investment strategy, we are increasingly well positioned to lead the industry forward. I am confident we have prioritized the right investments, focused on audience driven strategies with the highest potential for long-term growth and monetization, and by maintaining operational focus and cost figure we are able to maximize our returns on these investments. Thank you. And I'll now turn the call over to the operator so we can take your question.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of John Blackledge with Cowen.
John Blackledge: Great, thanks. Two questions. First, please you just kind of touched on it, but could you talk about the advertising environment that you're seeing thus far in the second quarter given the different macro cross currents? And, maybe like, which industry verticals are kind of leading pullback or pause and spend? And then second question on the vertical video initiative, any way to kind of frame potential revenue contribution from that emerging segment in 2022, and how are the margins for short-form video relative to kind of other forms of content creation that BuzzFeed does? Thank you.
Felicia DellaFortuna: Thanks, John. So, I would say on our advertising business, as you know, it’s comprised of both direct sales and programmatic revenues, and it is the scaled advertising business. On the direct sales side, our team has really done a great job of navigating the current market. Travel and financial services were two areas where we saw strength in Q1. And then although CPG and retail were slower to start, we have seen trends improve in both categories into Q2. We have also seen a lot of momentum in Q2 in entertainment and auto. And then obviously the flip side for us has been tech, where our partners are being impacted by the broader supply chain disruptions. On the programmatic business, we are seeing more of an impact for macro factors especially given kind of the seasonal uplifts that we would tend to see from Q1 to Q2 being dampened. However, we do have the benefit of being cross platform and having a diversified advertising model across both programmatic and direct. The other area I would add for Q2 is with the unified go-to-market strategy across BuzzFeed, Tasty, HuffPost, and Complex. We do see the opportunity to achieve greater scale and hopefully drive stronger margin contribution over time. On your second question, as it relates to vertical video, I would say that it is one of the products that are considered in our content revenue line. And so what we do see, which is one of the trends that you’re seeing in Q1 is that H1 will continue to be pressured by the mix shift toward content away from commerce. We do however, expect H2 to show margin improvements from the cost synergies that we announced in Q1 as a result of the integration of the Complex business sales and admin teams, and that we also expect easing comps in the back half of the year. So, we are expecting seasonal improvement sequentially as we move through the quarters as a result of the improving operating leverage related to our fixed cost infrastructure.
John Blackledge: Okay. Great.
Jonah Peretti: Just one quick note on short-form video, it is advantageous in the sense that it is not a eight-minute, 12-minute video, like what you might produce on YouTube. And so it is less expensive to make branded content in short-form vertical video that still reaches large audiences and has a big impact. So, of course, it’s an emerging area than emerging platform Reels, and I mean, TikTok and Reels and Shorts are relatively new. But the encouraging part of it is it’s a good form of communication. It doesn’t require massive production in order to make an effective video that reaches millions of people.
John Blackledge: Okay. That makes sense. Thank you.
Operator: Thank you. Our next question comes from the line of Jason Kreyer with Craig-Hallum.
Jason Kreyer: Great. Thank you. So, you’ve had a lot of content that you discussed at your new fronts a couple weeks ago. Just curious if you can highlight the feedback that you’ve heard from advertisers, just as you have conversations coming out of that presentation?
Jonah Peretti: Yes, we heard from a lot of advertisers that were very excited about upshots and the ability to do branded content and vertical video across multiple platforms. It was also the data work with Lighthouse was also very well received. A lot of clients are looking for new first party data solutions, looking for contextual advertising opportunities. There’s a big reset in the industry that is requiring advertisers to work with trusted brands that have first party data. So that was a great opportunity for us to tell that story and let advertisers know how much we’re doing there. And then the creator trend is a big trend. And one of the pain points for advertisers and clients is how to work with a really fragmented field of influencers and creators? And how do you know which ones to work with? And so the expansion of that combined with Lighthouse and vertical video solutions was really a synergistic combination. They know they can come to us, and get vertical video made by creators with really strong data. And that combined is something that is more than the sum of its parts. So it was it was a good opportunity. And then I would just say more broadly, the – just seeing the Complex team and the BuzzFeed team on stage together, seeing the way we’re working together, seeing the way that Tasty and First We Feast are launching a food festival together that there’s just a lot we can do now that we’re integrated now that we’re all one team we’ve integrated the business, and augmented back office. We got the Lighthouse capability across all of the Complex properties and the teams together building together, creating together that that was something that I think open the eyes up to a lot of the advertising community that you read a news article about an acquisition, but seeing it in action and is a different feeling, which was a great milestone for us.
Jason Kreyer: And then you’ve talked a lot already about this transition to short-form video, but I just wanted to take a step back and maybe understand the progress that was made in the quarter. If you can give any detail on these platforms that you’re working with, maybe where some of them are a little bit further ahead of the curve, where you’re more instrumental in helping them create path to monetization, and then this may be more for Felicia, but I think there’s going to be a period of time where that pivot from long-form to short-form creates a little bit of a hole that needs to be filled. At what point should we start to maybe come out the other side, and see more of a return to growth on content as you build up that short-form expertise?
Jonah Peretti: Yes, so we really feel like this is history repeating itself when you look at five years ago and the rise of Tasty that was built on very short-form in feed video, when Facebook was launching video, and that was new on Facebook, it was more about growth for them. They didn’t really monetize it. We had to build content solutions, branded content product placement in order to generate revenue there, it feels very similar now with TikTok and then Shorts, and Reels on Instagram and Facebook, they’re launching these new products to make sure that TikTok doesn’t take share from them or too much share from them. It’s more – it’s less focused on monetization. It’s more focused on growth and audience growth. That means we need to figure out the monetization ourselves, which is why we launched UpShots, which is why the content revenue line is so important for us on new platforms. New platforms, favor branded content, native advertising, and we’ve done that for many years now, when we see a new platform that's growing. Once TikTok, Facebook, Google start to really focus on more scalable advertising solutions, they will bring, the rev share and commerce revenue lines onto those platforms. And so for us, it's really a matter of how do we navigate the shift in the strategy, these platforms, where right now they're less revenue focused. They're also sharing less revenue. We can take control of our business by doing branded content native advertising. And we know, we expect in the next six months to two years, it's hard to predict exactly we're going to start seeing the shifts, towards rev share and commerce models advertising and commerce models. And so we're staying very close to them. We're having high level conversations up and down the organization of these platforms. And when that shift happens, we will, likely be in beta partners with them, the way we have been in the past and start building out the advertising in commerce lines. And that's how it's worked in the past. And it seems like we're seeing a lot of pattern recognition on this that it will work that way with this new short form vertical video formats.
Felicia DellaFortuna: And to add to Jonah, I mean, in looking at Q1 2022 content was the key driver of our revenue growth at plus 65% year-over-year. And while the Complex networks was a primary driver of that BuzzFeed standalone had also increased from a year-over-year perspective, reflecting the change in mix of content, right, which was one of the items we had discussed in terms of offering more late, lightweight, native branded products as part of our overall portfolio. So we do feel confident with the introduction of Complex, as well as all of the BuzzFeed, Inc. products that we do have a scale its content business that can offer a wide array of products, both from lightweight to premium content to our advertisers. And so in Q2, we do expect content to continue to lead the growth for Q2, which really highlights our diversified business model. And we do feel confident in being able to successfully navigate the market shifts we are seeing. The only item, I will note is that with Q2, we do note that as content revenues do increase as a percentage of total that is our lowest margin. And so that will have some impact as it relates to our adjusted EBITDA numbers in our, that are reflected in our Q2 guidance.
Jason Kreyer: Thank you one more for you, Felicia. The change in revenue recognition that hit Q1 by about four percentage points, should we assume a similar headwind to the Q2 guide that you provided in other words? Should we assume that revenue would've been around 4% better than the low 20% you guided?
Felicia DellaFortuna: I would say the way to think about the gross versus net is that very similar to our traditional advertising seasonality that we have disclosed previously as it relates to Q1 and its percentage of total revenue that would be a good guide in thinking about the impact that the gross versus net has had on Q2. And we also have disclosed in our queue, both the pro forma as well as the impact of the gross versus net recognition in our filing.
Jason Kreyer: Great. Thank you.
Operator: Thank you. And our next question comes from the line of Brent Navon with Bank of America.
Brent Navon: Thanks and good afternoon. Just want to circle back to the advertising market and just given the volatility right now. What's, I guess the current visibility that you have into these advertising trends and, some of the commentary about the verticals where it seemed like tech might have gotten, tech got worse, but maybe financials improved, anything just from month-to-month on a consolidated basis on, how advertising has trended from, March to April to May would be helpful?
Felicia DellaFortuna: Yes. So I would say in terms of direct sales, we did see recovery as it related to CPG in retail, in Q2 with very strong book dollars. And we did see new verticals really showing increases in overall, we're looking at visibility as it is today in terms of our total book dollars across the, the business and feel good in terms of the guidance that we're sharing for Q2, as it relates to the performance of advertising. I think the big headwind, which is also a bit of a tailwind is in being able to look across the platforms themselves and having a robust programmatic offering. In 2021, there was this seasonal uplift that everybody saw in terms of advertising CPMs across the market. And so we are seeing a softening of those CPMs across the programmatic space.
Brent Navon: Got it. Now that's helpful. And just as a follow up, I guess, bigger picture, I think one of the, strategic rationales of, you going public was to consolidate some of these subscale brands into BuzzFeed. And obviously the market conditions have, drastically changed from an industry and just from a general macro and I'm curious, how you guys view your position in the market right now, given all these changes.
Jonah Peretti: So Hey, Brent thanks for the question. So I think the changes in the market haven't had a huge effect on us, in the sense that valuations are relative. And if the market is down, that means there's more attractive acquisition opportunities out there of companies that are going to be looking for exits, especially the subscale digital media companies, because they realize that it's takes a lot of investment up front to build a commerce business, an events business, a programmatic ad tech, all the different pieces you need to build a diversified model. And so having that built out already and being able to plug in additional brands into that and audiences into that is, something that creates a lot of value. And so we can share in that value with that acquisition target. I think in some cases there, the fact that some of the private digital media companies are still private and we're public. It gives us a head start and we can, navigate through a chopping market get in a position where we have, a strong platform and be acquisitive, not just this year, but in years to come and be further along than a lot of the competitors in our space.
Brent Navon: Got it. Thanks. Thanks so much for the color.
Operator: Thank you. I'll now turn the call back over to Founder and CEO, Jonah Peretti for any closing remarks.
Jonah Peretti: Thanks everyone for joining the call today. We look forward to seeing you at upcoming investor conferences and events over the next few weeks. Thanks
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. And you may now disconnect.